Operator: Greetings and welcome to the Materion Corporation First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host today, Mr. Mike Hasychak, Vice President, Treasurer and Secretary. Thank you, sir. You may begin.
Michael Hasychak: Good morning. This is Mike Hasychak. With me today is Dick Hipple, President, Chairman, and CEO; and Joe Kelley, Vice President of Finance and Chief Financial Officer. Our format for today’s conference call is as follows: Joe Kelley will review the financial results for the first quarter and the outlook. Following Joe Kelley, Dick Hipple will provide comments. Following Dick, we will open up the call for questions. A recorded playback of this call will be available until May 14 by dialing area code 877, the number is 660-6853 or area code 201, the number is 612-7415. The conference ID number is 13634124. The call will also be archived on the company’s website, materion.com. To access the replay, just click on Events & Presentations on the Investors page. Any forward-looking statements made in this announcement, including those in the outlook section and during the question-and-answer portion, are based on current expectations. The company’s actual future performance may materially differ from that contemplated by the forward-looking statements as a result of a variety of those factors. Those factors are listed in the earnings press release issued this morning. And now, I’ll turn it over to Joe for comments.
Joseph Kelley: Thank you, Mike, and good morning to everyone for joining us on the call today. During my comments, I will cover our first quarter 2016 financial highlights, review first quarter profitability by segment, make some brief comments on the balance sheet and cash flow and finally cover the earnings outlook for the remainder of 2016. Following my comments, Dick Hipple, President, Chairman and CEO, will provide comments on the company’s key strategic initiatives. Let me start with the first quarter financial highlights. First quarter 2016 financial results were in line with our forecasted earnings and guidance provided to the Street. Although both sales and earnings in the first quarter of 2016 fell short of our strong performance in the same period last year when economic and end market conditions were much stronger, we did begin to experience a rebound in sales in a majority of our end markets versus the fourth quarter of 2015. First quarter 2016 value-added sales, which exclude the impact of pass-through metal costs, fell 12% from the prior year first quarter value-added sales and were flat sequentially with the fourth quarter of 2015 at $143.9 million. The year over year decline in value-added sales was across the majority of our end markets, with decreased demand levels coming from the oil and gas market and a broader slowdown in China demand, particularly in the connector market. Looking at the flat value-added sales sequentially from the fourth quarter of 2015 to the first quarter of 2016, we started to see some encouraging signs. The flat sales is reflective of a $4.7 million or 3.4% increase in value-added product sales, offset by a $4.2 million decrease in sales of raw material beryllium hydroxide. The sequential increase in value-added product sales is encouraging, as our sales into the Asia market, particularly the connector and telecommunications infrastructure markets, improved. Sales into the oil and gas market modestly improved; however, this represents the significant change from the sequential quarterly trend we experienced throughout 2015. The decline in raw material beryllium hydroxide sales is forecasted to only be temporary as our largest customer of hydroxide works through excess inventory levels as the long term supply contract renewal is being negotiated. Let me remind investors that we have sold beryllium hydroxide directly from our Delta, Utah mine under long term supply agreements for the past 20 plus years. It is typical that following the expiration of each long term agreement that we experience several months of limited order volumes as the renewal of the supply agreement is being negotiated. Gross margins expressed as a percentage of value-added sales were 30.2% in the first quarter of 2016 comparable to the fourth quarter of 2015 and 200 basis points below the first quarter of 2015. The reduction in profit margins versus the prior year was primarily driven by lower sales volumes and the related reduced manufacturing efficiencies and an unfavorable product mix. Selling, general, and administrative expense decreased to $30.5 million or 21.2% of value-added sales compared to the $37.9 million or 23.3% of value-added sales in the same quarter of the prior year. The decreased expense ratio was attributable to lower variable employee compensation expense tied largely to the lower sales and profit levels and savings from cost reduction initiatives taken in 2015. Other expense increased from a credit of $2.2 million in the first quarter of 2015 to an expense of $1.9 million in the first quarter of 2016. The prior year first quarter [other net] included non-recurring legal settlement gains totaling $3.8 million and $1.6 million foreign currency hedge gain. Operating profit in the first quarter of 2016 totaled $7.5 million compared to $11.1 million of adjusted operating profit in the first quarter of 2015. The prior year first quarter included special one-time gains related to the net insurance recovery, which management excludes when analyzing results. The $3.6 million or 32% decrease in year over year operating profit was driven by the 12% decrease in value-added sales, plus the lack of a $1.6 million foreign currency hedge gain which was recorded in the prior year first quarter. Looking sequentially, operating profit decreased $1.4 million from $8.9 million of adjusted operating profit in the fourth quarter of 2015 to $7.5 million in the current year first quarter. The sequential decrease was primarily driven by foreign currency hedge gain differences of $1.1 million. I’ll remind investors as I did during previous calls that the company maintains an active foreign currency hedging program designed to temporarily mitigate the financial impact of short term volatility in foreign exchange rates. We enter into cash flow hedges which mature 12 to 18 months in the future and lock in approximately 80% of our forecasted annual exposure. This strategy was effective in 2015, in that the negative impacts of changes in foreign exchange rates were partially offset by the realization of foreign currency hedge gains totaling approximately $6 million throughout the full year. However, given the sustained step changes in exchange rates like we have seen over the past 15 to 20 months with the euro approximately 15% weaker against the US dollar than it had averaged for the past 5-year period prior to 2015. Therefore, cash flow hedge gains realized in 2015 will not repeat in 2016, assuming the continued strength of the US dollar against the euro. Turning our attention back to reviewing the P&L, net income in the first quarter of 2016 totaled $5.4 million, which is reflective of a 25% effective tax rate in the quarter. Earnings per share in the first quarter of 2016 were $0.27, down from the $0.38 and $0.36 of adjusted earnings per share in the first quarter of 2015 and fourth quarter of 2015, respectively. Now, let’s review our 2016 first quarter performance by business. The majority of my comments in this section will focus on the comparison of our sequential financial performance, comparing the fourth quarter of 2015 to the first quarter of 2016. Given the significant changes in demand levels in the majority of our end markets over the past 12 to 15 months, understanding the sequential change is most insightful as we move forward throughout 2016. Looking first at performance alloy and composites, our PAC segment’s first quarter 2016 net sales totaled $90.6 million and value-added sales totaled $78.2 million. Both amounts were comparable to the amounts reported in the fourth quarter of 2015. The flat sequential value-added sales for this segment reflects a $4 million or 5% improvement in value-added product sales across the majority of our end markets served, offset by a $4.2 million decrease in sales of raw material beryllium hydroxide. As mentioned earlier, the lack of hydroxide sales in the first quarter of 2016 is reflective of our largest hydroxide customer working through excess inventory levels prior to renewal of their long term supply agreement. This drop in first quarter sales was forecasted and primarily reflects the timing issue, not a long term loss of market share. The previous 10-year supply agreement ended in the fourth quarter of 2015. Operating profit in the performance alloys and composites segment declined from $2.9 million in the fourth quarter of 2015 to $1.5 million or 1.9% of value-added sales in the first quarter of 2016. The sequential decrease in profitability is primarily associated with the lack of foreign exchange hedge gains comparable to the $1.1 million gain recorded in the fourth quarter of 2015. These first quarter 2016 profitability levels clearly are a low point for this business segment. I remind investors that it is the performance alloys and composites segment which has absorbed the majority of a company’s FX exposure as 100% of the deterioration in the oil and gas end market demand and has a portion of their sales impacted by the slowdown in China over the past 15 months. Additionally, now, this segment is being impacted by the lack of raw material beryllium hydroxide orders in the quarter. We have responded to these headwinds by taking pricing actions, reducing headcount, and accelerating new product launches. We are forecasting value-added sales improvements and profit margins climbing back to historical ranges as we exit the year. The forecasted margin improvement is coming from sequential volume growth in product sales, raw material beryllium hydroxide sales and long lead time orders of high purity beryllium shipments into the defense end market. Moving now to our advanced materials segment, value-added sales in the first quarter of 2016 increased 6% to $42.1 million from the fourth quarter 2015 value-added sales of $39.8 million. The majority of the value-added sales growth came from the recovery of the consumer electronics and telecommunications infrastructures end market. New product sales also contributed to the sequential growth, as they increased 17% over the fourth quarter levels and represented 8% of the segment’s quarterly sales. First quarter 2016 operating profit for the advanced materials segment grew 16% over the fourth quarter 2015 levels to $5.2 million or 12% of value-added sales. Profit growth and margin expansion was achieved by leveraging top line sales growth. Finally, the precision coatings group, which includes the precision optics and large area coatings businesses, is included in the other segment along with unallocated corporate cost. The precision coatings group’s value-added sales of $24.6 million decreased $1.8 million or 7% compared to the fourth quarter of 2015 value-added sales of $26.4 million. The lower sales level is reflective of the transition to new technology in the projector display business. However, we are partially replacing these sales volumes with new products like phosphor wheel, thermal and image sensing optical filters and large-area codings for the medical market. New product sales in the precision coatings business group grew 13% sequentially and represent 28% of the group’s quarterly value-added sales. So despite a slight decline in revenue, the product mix and manufacturing yield in this business continued to improve. The business recorded a 41% gross margin as a percentage of value-added sales in the first quarter of 2016, which represents the sequential improvement of approximately 600 basis points. Operating profit for the precision coatings group in the first quarter of 2016 grew sequentially 37% to $4.1 million or 17% of value-added sales compared to the $3.1 million of adjusted operating profit recorded in the fourth quarter of 2015. This record level of quarterly profitability for this group represents a favorable product mix for our large area coatings business that serves the medical market and within our optical coating business. This very favorable product mix is not forecasted to continue as several new products were in their ramp up stages during the first quarter of 2016. That said, we have steadily improved the profitability of this business group consistently over the last three years and we forecast 2016 to be the fourth consecutive year of expanding annual profits and profit margins for this business group. Turning now to the balance sheet and cash flow, the company’s balance sheet remained strong in the first quarter as net debt remained low at $18.3 million and the company has significant available liquidity to support the meaningful organic growth opportunities as well as pursue strategic growth alternatives. Cash flow from operations in the first quarter of 2016 was negative $17.4 million, in line with our expectations as seasonal investments in working capital and the timing of cash payments for annual accruals drove the negative operating cash flow in the first quarter. Investments in mine development totaled $4.8 million in the first quarter of 2016 as we continued the efforts around opening new pits at our Utah mine. We previously forecasted to spend $20 million to $25 million in 2016 related to pit openings. However, given recent working capital efficiency projects and the delays in raw material beryllium hydroxide orders, the pit opening activity is being suspended into second quarter of 2016. The revised full year 2016 forecasted cash investment in mine development is now $5 million to $10 million. And finally, let me complete my prepared comments by reviewing the outlook for the remainder of 2016. The first quarter unfolded as we had forecasted. Value-added sales, value-added product sales are again sequentially growing across the majority of our end markets after several quarters of sequential decline. Two of our three businesses delivered sequential profit growth in the first quarter. New product launches and long lead time beryllium orders scheduled for delivery in the second half of 2016 have us on track to deliver the full year earnings forecast range of $1.30 to $1.55 per share. Variables impacting the earnings range are the relative strength of our end markets for the remainder of 2016 and the timing of the raw material beryllium hydroxide sales. This concludes my prepared remarks and I will now turn the call over to Dick Hipple who will review the company’s strategic initiatives.
Richard Hipple: Thank you, Joe. By many measures, it was a tough going for Materion in the first quarter, especially compared to a year ago. But coming off a challenging third and fourth quarter, it was in the range of what we expected as we realized the full impact of the strengthened US dollar combined with the lack of foreign exchange rate hedge gains and in a number of places, the quarter produced some promising sequential improvement as product sales grew across the majority of our end markets. Touching on a few of our markets, we continue to face the headwinds of oil and gas and the slower conditions in China, but not as the negative velocity experienced in earlier quarters. Our slight increase in the order book for oil and gas indicate that the market may have finally bottomed. We have also seen a modest increase in demand from Asia, particularly in the telecommunication infrastructure end market. In auto, recognizing that our sales are down from last year’s first quarter, we saw a nice increase in sales from the fourth quarter to the first. The defense market remains very robust, although we can see significant shipment variability between quarters, particularly with our high DE business where individual programs create lumpy sales timing. One of the more difficult markets to get a good read on is the consumer electronics sector, particularly smartphones. We saw a modest increase in sales in the first quarter from the fourth, but based on recent reports from Apple and the earthquake disruptions in Japan, we might see the normal sales lift in the second quarter ship to the third quarter. As we look forward, we have targeted major macroeconomic and technology trends as growth drivers for our new product and technology platforms. To cite a few examples and updates, smartphone devices now have to hold up through a whole new range of material challenges as shopping habits are redefined with consumers tapping having Apple Pay or Samsung Pay and other apps requiring multiple [burst] over the course of a day. This is where we come in. Materion continues to introduce next generation ToughMet strip and tempers for higher strength and fatigue resistance in conductive string applications, such as camera module springs, electronic connectors, electromagnetic shielding switches and sensors. Our ToughMet TM16 temper launched just last year has won applications in major OEM smartphone designs with several more in qualification. To illustrate how quickly the OEM’s performance bar [indiscernible] support device makers’ needs for even higher fatigue resistance to enhance reliability. In the oil and gas drilling arena, we’re seeing application growth in a market that remains stubbornly depressed. The reason has everything to do with our materials providing solutions to oil field drillers relentlessly seeking to lower cost through higher outputs and reduce downtime. Last month, our performance metals unit had limited launch of a new ToughMet temper to improve the reach, reliability and accuracy of oil and gas components over competitive nickel alloys and steel. Our new material offers superior strength, normally associated with ToughMet, [indiscernible] to withstand significantly more bending strain especially in directional drilling pools. The reaction from the field has been extremely positive with several major equipment makers already writing new specs for this material. In addition, we’re now responding to market demand from the oil and gas industry for these ToughMet tempers in bar diameters up to twice our previous capability, which has opened up new applications in larger drilling tool parts. We will be making an official launch of these new products at the Offshore Technology Conference next month. Beyond this initiative, we’re generating new sales for a ToughMet Sucker Rod Coupling materials for oil field production. After demonstrating game-changing results in test with Hess in the North Dakota Bakken fields last year, we’ve recently added two other major customers for this material with others coming. In this low energy crisis world, these materials are providing welcome relief by doubling the life of wells between workovers, while increasing well productivity by more than 10%. In semiconductor, which is the largest set of applications within our advanced materials business, our scale, strong customer relationships, differentiated materials and recent capital upgrades position us well to support demand throughout this market. Further, we continue to drive demand through our innovative work with the semiconductor equipment manufacturers to develop new materials especially compatible with the sputtering machines they supplied away for fabricators. In many cases, this helps to expedite or simplify our own materials qualification at the fabricators. Moving on to science, a market that we serve in very exciting and meaningful ways, in space, on earth and particle colliders, using energy reactors for ground and satellite based astronomy, just last week we announced that we are set to begin the first phase manufacture for six of the world’s largest precision astronomical filters ever made. They will be outfitted in a large synoptic survey telescope or LSST for a mountaintop observatory in Chile. The images that will be captured will be 10 million times fainter, invisible to the human eye. This order is a result of the investment we made in recent years to produce the world’s largest diameter coating at our precision optics group in Westford, Massachusetts. One final product, market trend that is driving new demand involves the projection display market. OEMs are transitioning from lens to new generation laser illumination technology. Our phosphorescent color wheel materials produced in our Shanghai, China facility are a key enabler of the broad range of projection technologies from desktop to high lumen digital cinema. We generated nice sales in the first quarter for major customers making this transition. Our negotiations around the renewal of our raw material beryllium hydroxide supply agreement are progressing and are subject to the pulls and tugs that inevitably occur in negotiations. While we can’t comment on the specifics, we can say that we fully expect to benefit from the long term supply/demand dynamics for the beryllium raw material supply. It comes down to a matter of timing [indiscernible]. The expansion of our ore mine and hydroxide processing plant puts us in a very good position to respond to the expected decline and alternative beryllium sources over the coming years. In summary, Materion is managing both the short and the long term to be sure we are not at the levels we want, need or expect to be, yet our long term model of sustained growth remains intact. We are succeeding at diversifying our revenue base and opportunity pipeline. We remain highly disciplined on cost and margins and our employees remain highly engaged in all these areas. Another important area is our continuing pursuit of acquisitions that can strategically augment our growth. We have a disciplined acquisition process in place and a solid track record. Much of our new product growth and much of our future growth potential has been created by those businesses we acquired in the 6-year period prior to 2012. So even when market conditions are the toughest, such as oil and gas, we are repositioning ourselves to be very strong winners. This concludes our prepared remarks. We appreciate your interest in Materion and you taking the time to join us today. We’ll now open the line for questions.
Operator: [Operator Instructions] Our first question comes from Edward Marshall with Sidoti & Co.
Edward Marshall: The question I wanted to ask is the suspension of the pit opening mine in beryllium, and is there not a need for this material, do you have too much of this material and how does that relate to kind of your prospects for the timing of the stock pile depletion in Kazakhstan?
Richard Hipple: I actually won’t read very far into it in the sense that we are just currently suspending the investment. We’re going full speed ahead and we actually moved some working capital efficiency improvements in the supply chain between the mine, the open pit mine, and the end product sales going through our chemical processing plant. And so when we look at that with the working capital efficiency improvement, we were able to suspend the investments in this mine. And appreciate, this is very, very long term. So we have sufficient ore and working capital in the pipeline to meet our demand. So I really won’t read – I would read, the number one issue is working capital efficiency utilization improvement before this delay and the orders of beryllium hydroxide. So said differently, from a cash flow modeling purpose, Ed, I think that investment will probably just be pushed out to perhaps next year.
Edward Marshall: Okay.
Joseph Kelley: There’s other bucket of inventory between the mine and the chemical plant, the chemical plant operations and we’ve really taken a critical look of how we’re managing all those inventory buckets. We can be hell of a lot more efficient, so they just backed up to the front end.
Edward Marshall: That’s continuing to [change theme I think you put in] for the last couple of years here. If I looked in the Q, am I going to see any changes in the raw material entries there in the inventory component or is that too small for me to notice?
Richard Hipple: Associated with this, again, on the mine development side, when we’re opening a pit, Ed, as you know, that goes into the mine development and it’s capitalized in the fixed assets. When we extract the ore, it gets removed from fixed assets into inventory through amortization. So we will continue our normal historically forecasted depreciation and amortization is going to be around $40 million to $45 million and so that will be relatively flat with what we previously guided to. So what you’re going to see compared to our model is just a delay in the investment in the mine development. It won’t be a change in the inventory.
Edward Marshall: And then when I look at the mix of the business, you gave good detail on the individual segments, noting that consumer electronics is 26%, we’ve seen some of the larger component guys out there report, do you think – and I heard your comments about maybe Q3 weighted, do you think more of your guidance is probably second half weighted than it was originally thought when you entered 2015 or 2016 rather?
Joseph Kelley: Actually our original guidance, we don’t give quarterly guidance for the most part of the quarter or the full year, but it was back end loaded. I referenced in my comment we do have, as you’re familiar, some of our large high purity beryllium shipments are scheduled for the back half of the year. As you recall, I think if you look at our performance back in 2014, we had heavy back half of the year beryllium shipments and those all run through the performance alloys and composites segment, so you can study and see those results. So it’s really the consumer electronics, I think, that may – end markets that you referenced that may have – moving within the quarter. As Dick mentioned, there’s maybe a little bit of Q2 into Q3.
Edward Marshall: I guess asking a different way, do you think Q2 is a little softer than maybe your expectations heading into the year and therefore a little bit more back half weighted with your guidance than you originally thought based on some of the comments in the prepared...
Joseph Kelley: Yes.
Edward Marshall: Okay. With defense trends, some good trends there, I’m wondering if there is anything you can provide us to help out with our modeling here because it’s probably difficult for you, but it’s even more difficult for us, if there’s some kind of backlog or some kind of number there that we can kind of use to try to get a sense as to how this kind of builds throughout the year and maybe even in 2017 as we kind of think out?
Joseph Kelley: When we look at some of these defense orders and also sometimes it goes into medical end market for nuclear medical applications. To help you think about and help you model that, we try to just be specific when we’re talking about our annual guidance and give you an indication of when that will hit and when that will be heavy. Because at the end of the day, our beryllium business, the sales as we say are lumpy and the profit margin on these high purity beryllium businesses will cause a mix shift and therefore substantial improvement in profitability or deterioration if any looking sequentially, if large substantial medical shipments of high purity beryllium or not. So I guess what we’re trying to do to help you with your modeling is give you the specific guidance that there are several large percent of orders including the DLA itself scheduled for the back half of the year.
Edward Marshall: And oil has had a nice rebound and I know that was an important market for you in 2014, maybe not so much in 2015. And I kind of think about have you seen any kind of early indications that there is any rebound looming with the improvement in oil prices? I think probably [indiscernible],
Richard Hipple: I would say that it’s really hard to predict, but I would say right now that the increase in oil price has nothing to do with the lift that we’ve seen. I think we’re just at a point where you’ve had this inventory adjustments going on. And they’ve run out of inventory in some of the supplies in certain specific areas and now they actually have to order something. I mean, it’s just mind-boggling to think that it wasn’t too long ago that there were 1,800 rigs in operation and today it’s under 400. So obviously there’s a big lift going on here. So we’re watching carefully, but I think we’re – it’s the old – I don’t want to call it’s a dead cat bounce because that means it goes back down. It’s just that it – it’s coming off in extremely low level because I think now we’re in the spot price where they’ve actually run out of certain areas of inventory. But I would like to make one advertisement because – not an advertising because it’s true, is we’re going to see growth in this market higher than what kind of – whatever the heck is going to go on residual, because of those new products that I had mentioned, we will even at a low market situation, since we’re gaining applications, we should be doing better than whatever the market is because we’ve just introduced three new exciting products in the oil and gas fields that they’re going to be using us in preference of some other metals.
Operator: Our next question comes from Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: Kind of wanting to follow up a little bit with the end markets, strength I guess you called in the Asia market a little bit on the connectors and the telcos, you’ve seen sequential improvements there. Can you provide any color or any specific information from end customers or is it just kind of looking at your bookings?
Richard Hipple: So what we believe is with respect to the connector market specifically that there was a destocking that went on. We sell a lot though distribution, particularly on beryllium product line and we think the back half of 2015 included some destocking that wasn’t adjusted to the real ongoing run rate. So as we came to an end in Q4 and early in Q1, that started to pick back up for us. And so that’s our view on the connector market in Asia. But when you go to the telecom infrastructure, it’s interesting, while that’s sequentially improving and that’s mainly tied to the 4G build out that we service out of our Singapore operation. We have had record levels with some new product launches in Q1 last year and then that fell off a cliff midway through Q3 of last year, as I think there was a disruption in that overall business environment. And we weren’t the only ones that were impacted. And that only then did pick back up here in Q1. So I think it’s specific to the telecom 4G build at the telecom infrastructure piece and the connector piece is the destocking at our distributors and their customers in the back half of 2015.
Marco Rodriguez: And kind of shifting here to the advanced materials segment, when I’m looking at – when I hear your commentary, it sounds like your end markets are kind of stabilizing on a sequential basis, maybe starting to pick up as the year progresses. But just trying to kind of get a better feel for the slow of the value-added sales on advanced materials, when comparing the growth rate year over year compared to last two quarters, it’s gotten a little bit worse. So just kind of trying to understand your expectations for that particular market on the revenue side, value-added side.
Richard Hipple: So let me calibrate it. In the advanced materials segment, when you do compare year over year the decline as 19%, it’s really – it’s a tough benchmark, because if you look at that business trend, that was the highest quarterly value-added sales that that segment had ever had. And it was similar to kind of what I referenced in the precision coatings business. Last year in the AM business, there were some new product launches. I mentioned the 4G build out. There was also some consumer electronics new product development that was in the ramp up stage that really inflated that. So when we look at the year over year, I would tell you that 19.6% is exaggerated for the overall pullback in the end markets, because in Q1 I think we outperformed the growth of the end markets with those new product launches both in consumer electronics and in the telecom infrastructure.
Marco Rodriguez: Then moving on to the precision coatings, just going back to your commentary on the margins, very, very healthy margins in Q1 here of fiscal 2016, but the expectation that those margins are not necessarily sustainable for the back half of the year. Are you thinking just from a modeling perspective that your gross margins on [VHL] kind of mimic or comparable to your overall fiscal 2015 in that mid 30% range, or are you looking for something a little bit higher?
Richard Hipple: On the OP, let me just talk about the OP margins, I guess if you don’t mind. So from an OP perspective, this business has improved from back in 2013 around 5.5% to 6.5% in 2014, it did 8.7% in 2015. And I think when you look at the full year, we’re going to beat the 8.7% OP to VA that we did in 2015. So I don’t anticipate maintaining the 17% throughout the year, but I do anticipate, we do anticipate the full year profitability of that to improve over the prior year annual level of 9%.
Marco Rodriguez: And lastly a question and I’ll jump back in the queue, just coming back here on the acquisition landscape, if maybe you can kind of provide any sort of color in regards to what the valuations you kind of see out there, are they reasonable, are they getting more reasonable, is it still expensive, any sort of color around that would be helpful.
Richard Hipple: I would say that they’re getting more reasonable, but I think we may have some unique opportunities sooner. I think we have some unique opportunities that are going to help spread our international footprint a bit, but also provide some very unique synergies for the company. Before we’ve done some acquisitions – acquisitions, we’ve done philosophically that kind of broaden our footprint, if you will, for broadening the base of the business from kind of new businesses, if you will. And now, we’re more focused on leveraging what we have and getting some additional businesses that have provided more synergy than we’ve ever had in the past. So I’m kind of excited about some of the things that we’re covering out of the marketplace for us.
Operator: Our next question comes from Phil Gibbs with KeyBanc.
Philip Gibbs: I was just jumping off of another call earlier, so I apologize if I missed it. But did you say that the mining capital expenditures this year have been curtailed?
Joseph Kelley: Yes. So historically, Phil, if you recall, we were forecasting to spend $20 million to $25 million in mine development. Here in Q2, we suspended that activity such that we’re forecasting the full year to be somewhere between $5 million and $10 million. And depending on the efficiencies we are achieving in our working capital, supply chain flow and demand levels that mine development may be pushed out until next year or perhaps later.
Philip Gibbs: And how much did you spend in Q1?
Joseph Kelley: We spent about $4.8 million in Q1.
Philip Gibbs: And then in terms of your outlook for the defense market, what are you seeing there for the balance of the year?
Joseph Kelley: I would say that we expect the balance of the year to be stronger in the second half than the first half, because we still have some new platforms rolling in. So we’re very bullish right now in the defense market.
Philip Gibbs: And then in terms of the beryllium pricing momentum right now in the marketplace, have you seen the market from a supply/demand balance tighten or did that dovetail earlier with your comments that I got the back end of – it’s something that it’s building toward?
Richard Hipple: Right now, it’s – I think in my comments I said it’s not a matter or if that’s a matter of when, so it’s – we can’t predict the exact timing of this thing. But whether it’s the end of this year or we expect rolled into next year, but it’s all going to happen. And it’s kind of hard to know exactly what the exact final supply/demand balance is. But we’re – it’s going to happen. So we’re talking a matter of a 6-month movement around here and it’s tough to predict it.
Philip Gibbs: And then lastly...
Richard Hipple: Let me put it real simple, that also is a matter of you’ve got negotiations going on and pricing is critical to both sides of the party.
Philip Gibbs: Okay. And in terms of the currency situation right now, the dollar has eased a bit relative to both the euro and the yen. Are you seeing that helping you incrementally relative to where we were three to six months ago?
Richard Hipple: Sure. It did modestly. I’d just tell you our main exposure, Phil, as you know is on the euro and we’re hedged at 80% of our forecasted flow for the year at $1.11 exchange rate. So to the extent that it’s better than that, we will get some benefit in the gross margin that will be offset by the hedge losses in that case. But long term, we stand to benefit, yes, if the dollar continues to weaken against the euro.
Philip Gibbs: I was thinking about more with the yen, I was thinking more in line with the beryllium copper business and...
Richard Hipple: So as the dollar strengthened against the yen, our competitor got an advantage, you’re correct, we’re at the $1.20. So as that reverses itself here, the advantage that they had let’s just say in 2015 is subsiding. You’re correct.
Operator: Our next question comes from Justin Bergner with Gabelli & Company.
Justin Bergner: I had to hop on a bit late, so I apologize if some of my questions were already addressed. But my first question relates to the sequential improvement in value-added sales of just over 3% excluding sort of the raw material, or I guess you call that some factor that maybe improvement about 3% on a value-added basis. What’s the normal seasonality in the first quarter versus the fourth quarter? And are we sort of trending in line with normal seasonality or better than normal seasonality?
Richard Hipple: I would say in this world that we’re living in right now, I don’t know what the heck is normal, but I would say that from what I’ve seen in other areas in the electronics area, we’ve actually seen a pickup and others have been flat. So I would say that I think this is better than what the normal seasonality is. So I think it’s a positive. I would generally say all else being equal you see a little pick up in the first quarter, but as I look around the market today that’s not necessarily the case. And that’s in general. So we were quite pleased with about a 3.7% increase quarter to quarter on the value-added sales. So we were very pleased with that and we thought that was above market expectations.
Justin Bergner: On the capital allocation front, I know a question was asked earlier, when would you be planning to do something more material in the capital allocation front, whether it is return of capital or an acquisition, is there sort of urgency to use the balance sheet a bit more or are you comfortable sort of being patient with the negligible debt position?
Richard Hipple: As we stated, our priority right now is to focus on really building our acquisition capabilities such that we can deploy some capital towards strategic, primarily strategic bolt-on acquisitions. We are being very prudent in what we’re willing to pay and the returns that we’re expecting on the acquisition side. That being said, we maintain our dividend. We have a track record of increasing that for the past several years. And so we’ll continue the dividend. And then on the share repurchase front, we have a systematic program to repurchase approximately, targeting to repurchase about 150,000 shares this year and then beyond that we have capacity to be opportunistic. But that’s not our priority. Our priority is maintaining that balanced return to shareholders through both dividend and repurchase, but primarily focused on deploying capital in the growth initiatives through acquisitions. So things like this is pushing out of this mine development will help us fund some acquisition targets as well.
Operator: Our next question comes from Edward Marshall with Sidoti & Co.
Edward Marshall: Just a follow up here for you guys, as you think about the second half and just from a modeling perspective [indiscernible] little help, were you thinking more along the lines of like the 60/40 split or kind of how are you thinking about the intensity in the second half of the year?
Richard Hipple: When I was studying that, I looked back at 2014 and I thought it would be comparable to 2014 such that Q1 and Q2 were – I think Q2 was up slightly over Q1, so Q1 to Q2 should be flat to up a little bit and then the Q3 and Q4 should be comparable, if not a little bit heavier in Q4.
Edward Marshall: And then secondly, how big of an impact is Japan for you and in a way I would have thought maybe you might have been able to think of some share as well, given some of the [indiscernible] that happened there?
Richard Hipple: That’s only going to be an impact for us if our particular competitor and their facilities have been impacted and that was not the case. Where they really impacted was, as I mentioned in my comments, to me, I was a little unsettled with that because what it did affect was supply chain within the smartphone market in particular. So all of a sudden you can have some critical components not getting into the smartphone areas and they have to push back their production sequences because of an upset there, which then affects our sales into a market. So we’re keeping a real close eye on that.
Operator: At this time, I would like to turn the call back over to management for closing comments.
Michael Hasychak: This is Mike Hasychak. We like to thank all of you for participating on the call this morning. I’ll be around for the remainder of the day to answer any questions. My direct dial number is 216-383-6823. Thank you very much.
Operator: This concludes today’s teleconference. Thank you for your participation. Have a great day.